Operator: Good day, and welcome to Dollar Tree's Third Quarter Earnings Conference Call. Today's conference is being recorded. 
 At this time, I would like to turn the conference over to Mr. Randy Guiler, Vice President, Investor Relations. Please go ahead, sir. 
Randy Guiler: Thank you, Brandon. Good morning, and welcome to our conference call to discuss Dollar Tree's performance for the third fiscal quarter of 2018. Participating on today's call will be our President and CEO, Gary Philbin; and our CFO, Kevin Wampler. 
 Before we begin, I would like to remind everyone that various remarks that we will make about future expectations, plans and prospects for the company constitute forward-looking statements for the purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors included in our most recent press release, 8-K, 10-Q and annual report, which are on file with the SEC. We have no obligation to update our forward-looking statements, and you should not expect us to do so.
 At the end of our prepared remarks, we will open the call to your questions. [Operator Instructions] 
 Now I will turn the call over to Gary Philbin, Dollar Tree's President and Chief Executive Officer. 
Gary Philbin: Thank you, Randy, and good morning, everyone. Today, we're going to discuss our third quarter performance as well as our plans to improve the consistency of execution across the Family Dollar store base and to optimize our real estate portfolio. This will include a meaningful acceleration in -- of in-store renovations and rebanners in 2019. 
 This morning, we announced results for the third quarter. Sales increased 4.2% to $5.54 billion. Consolidated same-store sales increased 1%. By segment, comp sales for the Dollar Tree banner increased 2.3%. The Family Dollar banner comps were down 40 bps compared to last year's Q3 increase of 1.5. On a 2-year stack basis, comps accelerated slightly. Our enterprise gross margin rate declined 110 basis points to 30.2%. Operating income was $387.8 million or 7%, and diluted earnings per share increased 16.8% to $1.18 at the high end of our guidance range.
 We delivered earnings within the range of our expected -- of our expectations, despite continued cost pressures related to domestic freight and our investment in store wages. Dollar Tree delivered its 43rd consecutive quarter of same-store sales growth with increases in both customer transactions and average ticket. We're pleased with the performance of our newly renovated Family Dollar stores. Additionally, we have begun the important phase of consolidating our store support centers into our Chesapeake campus, which will improve our ability to support Family Dollar stores through enhanced collaboration, communication and teamwork.
 Dollar Tree continues to have the most unique, differentiated and defensible business model in U.S. value retail. Customers love our dollar fixed price point, as demonstrated by 43 consecutive quarters of positive comps. Despite periodic cost challenges, the company has continued to deliver a relatively consistent gross margin annually with sector-leading operating margin. Our 2.3 comp this quarter was on top of a 5.0 comp in last year's third quarter, and the comp growth was driven by balanced increases in both transaction count and average ticket.
 In our Dollar Tree banner for the third quarter, top-performing categories were snacks and beverage, candy, stationery, greeting cards and Halloween seasonal assortment. We are extremely pleased with the recent addition of the Hallmark brand to our product assortment at Dollar Tree. Customers are thrilled with the values and the offering, and I'll touch more on that in a moment. Sales performance was driven by strength in discretionary categories. Comps were positive and exceeded 1.5% in all 3 months. October same-store sales were the strongest month in the quarter, and we saw a terrific sell-through on our Halloween seasonal merchandise. Geographically, Dollar Tree same-store sales growth was strongest in the west, southwest, southeast, and all of our operating zones delivered positive comps. 
 On last quarter's call, I briefly touched on our beginning -- of our new partnership with Hallmark. We introduced a new Hallmark greeting card program in June. Every Dollar Tree store in the fleet was refixtured and merchandised with a fantastic, new assortment. The rollout across the chain was completed 1 week ahead of schedule, and our customer acceptance and feedback has been terrific and was validated by a double-digit comp in our third quarter. We are able to enhance the assortment by market and store. We have cards tailored for African-American shoppers, our Hispanic shoppers, religious, inspirational card occasions. We have fantastic every day and seasonal assortments with our Heartline brand and our best price at 2 for $1 and our Expressions brand for $1 per card. All are branded with the signature Hallmark brand and recognizable crown logo. We are enthusiastic about this new partnership with Hallmark, and it adds to our very important party category. 
 Also, during the quarter, we added new Snack Zones into an additional 300 stores. We now have Snack Zones up and running in more than 800 stores. Store and customer feedback has been terrific, and our numbers support this as we like the lift not just from the category but within the store. The concept targets on-the-go customers with immediate consumption items, and our Snack Zone sales are consistently outperforming the budgets assigned to them. These are just 2 examples of how Dollar Tree continues to reinvent our assortment to drive excitement in our stores. 
 For the Family Dollar banner in the third quarter, since acquiring our Family Dollar brand, our team has made progress towards addressing needed investments, but there's more to be done. While comps for the quarter across the banner as a whole did not meet our targets, our renovated stores continue to perform ahead of our expectations. In fact, in the third quarter, we are seeing that the performance of our newly renovated stores are the best performing of our renovation waves over the past 6 quarters. These strong results give us the confidence that we're poised to see the benefits of our investments in the brand, and we continue to focus on the key initiatives that will drive to long-term success. 
 The foundational elements that we have stated from the beginning are investment in customer experience; being better in stocks and assortment; more private brand offerings, along with better buying from our import capability; delivering value to our customers through our Smart Ways to Save; specific customer offers through our Smart Coupon program; and now, most importantly, around our efforts to renovate the stores with better adjacencies and the impact of our important categories. I'll provide more detail on these efforts later in this call. 
 Top-performing categories during the quarter included snacks and beverage, refrigerated, frozen products, candy, beauty care and laundry care. We delivered our eighth consecutive quarter of positive comps in the Family Dollar consumables businesses. Sales cadence comps were slightly negative in August and September and slightly positive in October. In the prior year, all 3 months were greater than 1% positive comp. Geographically, Family Dollar same-store sales growth for the quarter was once again strongest in our west, mountain west and mid-Atlantic zones. 
 Switching to Dollar Tree Canada. The team, again, delivered mid-single-digit positive comps for the quarter with increases in both ticket and traffic. The sales growth was balanced as both discretionary and consumables comped at or better than 4% for the quarter. Top-performing categories included harvest, apparel, greeting cards. Importantly, team Canada achieved its operating income for the quarter. 
 The digital division of Dollar Tree, Dollar Tree Direct, had another productive and profitable quarter in Q3. We experienced comp sales growth in our e-commerce sales for -- are increasingly profitable as we continue to, over time, leverage the existing infrastructure to drive to the bottom line. Online, we launched a robust marketing campaign to promote Hallmark cards in the stores. The campaign included a landing page, dedicated Hallmark video and craft ideas featuring our cards.
 Now looking at real estate. In the third quarter, we opened a total of 127 new stores, 87 Dollar Trees and 40 Family Dollars. We relocated or expanded 14 stores, 10 Dollar Trees and 4 Family Dollars. We renovated 164 Family Dollar stores as part of our renovation initiative. We rebannered 30 former Family Dollar stores to Dollar Tree stores for a total of 335 projects during the quarter. We have completed 488 Family Dollar renovations in fiscal 2018, exceeding our original target of 450 for the year. We also added freezers and coolers into 143 Dollar Tree stores during the third quarter, bringing our total Dollar Tree stores with freezers and coolers to 5,579. During the quarter, we closed 18 stores, 6 Dollar Trees and 12 Family Dollars, and we ended the quarter with 15,187 stores. Broken out, 6,923 Dollar Trees and 8,264 Family Dollars. 
 For the full year, we expect to have 325 new Dollar Tree stores and approximately 230 Family Dollar stores. This is below our original plan of 350 Dollar Trees and 350 -- or 300 Family Dollars. The shortfall is due to timing on the Dollar Tree side and our accelerated focus to renovations on the Family Dollar side. We have mentioned previously our effort to switch to do more renovations at Family Dollar, and by our fiscal year-end, that number will be at 500.
 Before I turn the call over to Kevin, I'd like to provide an update on the Section 301 tariffs and the potential for additional tariffs. Today, we currently source our products from more than 2 dozen countries, which does afford us a degree of flexibility. But I'm extremely proud of the work our merchandising teams, which have been very active, working with our supplier base to minimize our impact from tariffs. Because of our team's efforts, the expected impact on tariffs to fiscal 2018 will be minimal. As we've always said, with visibility and [ due cost ] and with some amount of time, we're typically able to navigate and manage the business for ways to offset these costs. Our options include negotiating price concessions from vendors, changing product sizes, specifications and evolving our product mix. At Family Dollar, we can raise retails but only as a last resort. Assuming that 10% Section 301 tariff for freight will increase to 25% next year, Dollar Tree has already mitigated the potential impact of the 2019 tariffs by 80% and Family Dollar by 50%. We have made significant process (sic) [ progress ] and will provide additional updates on our fourth quarter call. 
 Now I'll turn the call over to Kevin to provide more detail on our third quarter performance and for our outlook for the remainder of fiscal 2018. Kevin? 
Kevin Wampler: Thank you, Gary, and good morning. Total sales for the third quarter grew 4.2% to $5.54 billion. Dollar Tree segment total sales increased 6.3% to $2.85 billion. The Family Dollar segment total sales increased 2% to $2.69 billion. Enterprise same-store sales increased 1%. On a segment basis, same-store sales for the Dollar Tree banner increased 2.3% or 2.2% when adjusted for Canadian currency fluctuations, and the Family Dollar banner decreased by 40 basis points.
 Overall, our gross profit increased by $5.9 million or 0.4% to $1.67 billion for the third quarter 2018 compared to the prior year's quarter. As a percent of sales, gross profit margin declined 110 basis points to 30.2% versus 31.3% in the prior year's quarter. Gross profit margin for the Dollar Tree segment was 34.8% for the third quarter, a 30 basis point decline compared with the prior year's third quarter. The decline was primarily due to higher costs related to distribution center payroll and shrink. Increases in freight were offset by improved markdown and a positive margin effect from mix shift based on strong discretionary sales for the quarter. Gross profit margin for the Family Dollar segment was 25.3% during the third quarter, which compared to 27.5% in the comparable prior year period. The year-over-year decline was primarily due to merchandise costs, including freight, which increased 60 basis points, resulting from higher domestic freight costs. 11 basis points of that increase relates to hurricane-related costs incurred due to our Marianna, Florida DC being down due to the loss of power and store cleanup. Stores normally serviced by this DC were moved to other DCs in the network for approximately 3 weeks, increasing stem miles and costs. 
 Markdowns increased 50 basis points related to promotional markdowns. Approximately 10 basis points of the increase was due to damaged inventory in our Marianna DC and multiple Florida-based stores. Shrink costs increased 40 basis points due to unfavorable inventory results and changes in the accrual rate. Distribution costs increased 40 basis points due to higher distribution center payroll-related costs and a change to allocate certain benefit costs related to the DC to be consistent across banners. This represented 25 basis points of the increase, and occupancy costs increased 30 basis points, resulting from the deleveraging effect of the decline in same-store sales. 
 Consolidated selling, general and administrative expenses as a percentage of net sales in the quarter improved 10 basis points to 23.2% from 23.3% in the same quarter last year. The increase was driven by lower corporate and operating expenses and lower depreciation as a percentage of sales, partially offset by higher payroll costs. In addition, the third quarter includes $2.3 million of expense related to the store support center consolidation announced September 18, 2018. Third quarter SG&A expense for the Dollar Tree segment as a percentage of sales improved to 23.2% compared to 23.3% in the prior year's quarter. The improvement was primarily due to leverage from the increase in same-store sales and lower incentive compensation costs, partially offset by a 20 basis point increase in store hourly payroll expense, resulting from the planned tax reinvestment. SG&A expense for the Family Dollar segment as a percentage of sales was 23.2% compared to 23.4% in the prior year's quarter. The 20 basis point improvement was a result of operating and corporate expenses decreasing approximately 40 basis points, resulting from lower advertising expense, legal fees and a gain on the sale of fixed assets. 
 Depreciation and amortization expense decreased approximately 20 basis points as a result of certain assets that were revalued upon the 2015 acquisition becoming fully depreciated or amortized. Payroll expense increased approximately 35 basis points, primarily due to increased store hourly payroll as a result of the planned reinvestment of income tax savings and higher health care claims, partially offset by lower incentive compensation expenses. 
 Operating income for the enterprise was $387.8 million compared with $425.2 million in the same period last year, and operating income margin was 7% compared to 8% in last year's third quarter. Operating margin -- income margin for Dollar Tree segment declined 20 basis points to 11.6% when compared to the prior year quarter. Operating income for Family Dollar segment was $55.9 million or 2.1% for the quarter. Nonoperating expenses for the quarter totaled $47.8 million, which is comprised primarily of net interest expense. Our effective tax rate for the quarter was 17.1% compared to 32.4% in the prior year period. The lower rate is a result of the Tax Cuts and Jobs Act, which lowered the federal tax rate to 21% from 35% the prior year. Additionally, the company recorded a tax benefit of $15.7 million based on the substantial completion of its analysis on the net deferred tax liability valuation. For the third quarter, the company had net income of $281.8 million or $1.18 per diluted share compared to the reported net income of $239.9 million or $1.01 per diluted share in the prior year's quarter.
 Looking at the balance sheet. Combined cash and cash equivalents at quarter-end totaled $708.3 million compared to $1.1 billion at the end of fiscal 2017. Our outstanding debt as of November 3, 2018, was approximately $5 billion. 
 Inventory for the Dollar Tree segment at quarter-end increased 12% from the same time last year while selling square footage increased 4.7%. Inventory per selling square foot increased 6.9%. The increase reflects the acceleration of receipt of certain imported goods to minimize the impact of increased tariffs. We believe that current inventory levels are appropriate to support our sales initiatives for the fourth quarter. Inventory for the Family Dollar segment at quarter-end increased 7.1% from the same period last year and increased 5.4% on a selling square foot basis. The increased levels in the current year primarily represent our continued work to support in-stock levels and a modest increase in the average unit retail.
 Capital expenditures were $228.4 million in the third quarter versus $177.7 million in the third quarter last year. For fiscal 2018, we expect consolidated capital expenditures to be approximately $825 million. 
 Depreciation and amortization totaled $150.5 million for the third quarter. Depreciation and amortization expense was $149.4 million in the third quarter last year. For fiscal 2018, we expect consolidated depreciation and amortization to be approximately $610 million. 
 Our updated outlook for fiscal 2018 includes the following assumptions. Calendar considerations include the following. 2018 is a 52-week year, 2017 was a 53-week year and the 53rd week in Q4 of 2017 added $406.6 million to sales and approximately $0.21 to earnings per share. We reduced our sales outlook in Q4 due to opening 30 less Dollar Tree stores and 70 less Family Dollar stores than originally planned, as noted earlier by Gary. Our updated guidance now includes approximately $6 million for expected costs in Q4 related to our store support center consolidation. We expect continued pressure on store payroll, based on competitive markets and states increasing minimum wage. Additionally, as previously discussed, we continue to invest in store hours and average hourly wage rates as part of our $100 million investment into our business from our projected $250 million tax benefit. We expect higher domestic freight and diesel costs to continue. 
 Net interest expense will be approximately $47 million in Q4. Our guidance does not include expenses and charges in connection with the effects of store optimization, including store renovations, store closures and other assets. We cannot predict future currency fluctuations. We have not adjusted our guidance for changes in currency rates. Our guidance assumes a tax rate of 21.75% for the fourth quarter and 20.2% for the -- for fiscal 2018. Weighted average diluted shares counts are assumed to be 239.3 million shares for Q4 and 238.9 million shares for the full year. 
 For the fourth quarter, we are forecasting total sales to range from $6.10 billion to $6.21 billion and diluted earnings per share in the range of $1.86 to $1.95. These estimates are based on a low single-digit same-store sales increase and year-over-year square footage growth of 3.2%. For fiscal 2018, we're now forecasting total sales to range between $22.72 billion and $22.83 billion based on a low single-digit same-store sales increase and 3.2% square footage growth. Company now anticipates net income per diluted share for full year fiscal 2018 will range between $4.86 to $4.95 compared to the company's previously expected range of $4.85 to $5.05. 
 I'll now turn the call back over to Gary. 
Gary Philbin: Thanks, Kevin. Following the completion of the acquisition of Family Dollar in July 2015, we've made significant progress on integration. We've exceeded our initial synergy targets, strengthened our balance sheet and, at the same time, laying the groundwork for our future growth. 
 As part of the integration process, we focused first on building a single infrastructure by implementing initiatives to establish a single foundation to drive performance across the organization and support the growth of both Dollar Tree and Family Dollar brands. As part of this foundational work, we successfully implemented a shared services model across corporate support functions. We introduced common systems and processes across both brands. We improved logistic and supply chain efficiencies, including testing and refining the approach in systems for combined distribution centers. Our first combined distribution center is in St. George, Utah, where we began servicing both brands in 2016. The learnings from this area are paving away for the launch of our next generation of combined DCs and additional synergies. And we commenced the consolidation of corporate functions, including all support functions into our Chesapeake, Virginia headquarters location. We expect to complete the consolidation by fall 2019.
 With this foundation in place, Family Dollar's position, along with the Dollar Tree brand, should benefit from the combined scale of our broad footprint. But our integration work has not only been focused at the corporate level. During this time, we've implemented initiatives to improve operational performance across the footprint of Family Dollar stores. Examples of our work: building the leadership team by hiring executives with significant and relevant retail experience; changing restock policies to improve in-stocks; improving adjacencies and merchandising of key impact categories that are focused on consumables and increased refrigeration; introducing programs and training to enhance the sales culture, including, at store level, compensation programs to better incentivize and align performance; launching Smart Ways to Save, our customer-facing marketing program; investing in mobile technology and introducing Smart Coupons to better reach core customers and increase store loyalty; commencing a program to improve and rebrand private label products and increase the variety and quantity of private label products in-store; completing a store format test to optimize layout and develop a new prototype design.
 As we discussed in prior calls, we have analytically looked at our process to optimize Family Dollar real estate portfolio through renovating stores, rebannering stores to Dollar Tree brand or closing stores. Since completing the Family Dollar transaction, we have opened 830 new Family Dollar stores, renovated 865 Family Dollars, rebannered 354 stores from Family Dollar to Dollar Tree and closed 195 Family Dollar stores. 
 Our renovation program really began 18 months ago, and since then, we've continued to take the learnings from each generation of renovations and applied them to the next. You've heard us say our renovations are comping to mid- to high single digits. That's true when you look at the entire footprint of renovated Family Dollars. However, if you look at the more recent renovations, we're seeing higher comps, which gives us the confidence we're executing well. We're, therefore, going to begin accelerating our store-optimization program in 2019. As of now, we expect to renovate a minimum of 1,000 Family Dollar stores in fiscal 2019. Next year, we plan to open 350 new Dollar Tree stores and 200 new Family Dollar stores as well as rebanner additional 200 Family Dollar stores to Dollar Tree. Additionally, in '19, we'll be expanding Snack Zones to additional Dollar Tree stores. And we expect to be in a position to provide you with additional information on these store-related projects in 2019.
 So in summary, through the hard work we've done in the past 3.5 years, we put in place the foundational elements that we need to be successful over the long term. And with the acceleration of our program to optimize our fleet of stores under the Family Dollar brand, we're going to improve the customer experience across our portfolio and accelerate our growth. We've done a lot of testing, and we know what works in both urban and rural markets. And based on that, we think we have a tremendous opportunity ahead of us and across the country. In short, we're more excited about our future than ever. 
 Let me give a brief update on our capital allocation plans. In connection with the acquisition, we did not make share repurchases in order to allocate sufficient capital to reduce outstanding debt, invest to support the growth of Dollar Tree and Family Dollar and invest in the initiatives to integrate Family Dollar and to improve store performance across the portfolio. Since completing the acquisition, we've paid down approximately $3.5 billion in debt. In March, we achieved upgrades to investment grade from S&P Global and Moody's, and we have continued to produce strong cash flow from operations. As a result of our successful progress with integration and free cash flow in excess of investment needs, we expect to pay down our variable rate outstanding debt. The company has an existing $1 billion board authorization to repurchase shares and will continue to evaluate share repurchases in 2019. We plan to provide more information related to our capital allocation strategy in 2019. 
 In summary, we continue to focus and make meaningful progress to grow and improve our business for both brands. We are well positioned in the most attractive sector of retail to deliver continued growth and increase value for our long-term shareholders. The combination of more than 15,000 Dollar Tree and Family Dollar stores provide us the opportunity to serve more customers in all types of markets. This combination of 2 great brands provides great flexibility in managing our future growth. 
 Before I turn the call over to Q&A, I'd just like to make a shout-out to our store and field teams both after the hurricanes and recent fires. Many of our store associates and customers were personally affected by these storms. I want to personally and publicly share our thanks to the thousands of associates that worked tirelessly to have their stores open and serve their customers in preparation for and then in recovery from these significant weather and fire events. We saw great teamwork, passion and dedication throughout the organization. My personal thanks for all the efforts made in our stores, our Marianna distribution center, support centers and our many vendor partners that enabled us to get the impacted stores back up and running in hours and days through and after these events.
 Operator, we're now ready to take questions. 
Operator: [Operator Instructions] The first question will come from Michael Lasser with UBS. 
Michael Lasser: Gary, can you provide more context around your comment that you mitigated 80% of the 25 -- 80% at Dollar Tree and 50% at Family Dollar of the 25% potential tariff? Does that mean that if the tariff goes through, you will see a 20% hit at Dollar Tree and a 50% hit from that at those 2 banners? Or is there more to go? And as part of that, how have you been able to mitigate it such that -- could there be an effect to your customer from either lowering product quality, product size or other factors? 
Gary Philbin: Michael, thank you. Yes. And really, it's -- I called out the efforts of both merchandising teams. We're anticipating -- I mean, we should -- it doesn't, but we're anticipating it's going to go to 25%. So the number I'm referencing is -- we expect the 25%. So the mitigation is based on that going through. And you've heard us mention how we've done it before. I mean, it sounds like it's easy. It's not because we're touching a lot of SKUs. The one thing you mentioned, though, is lower quality. It's -- we don't reduce quality. It could be a count size change, but I would say it's probably been a bigger effort around where else can we buy things besides China, compare it to landed costs, a subtle thing, how do we make things to have better cube to come across so that we can land it on the U.S. side at a better landed cost. It's negotiation with our vendors who also know this is a very important time with the kind of volumes and [indiscernible] some of the factories to negotiate that. So it's never one thing. It's our efforts to negotiate very well on both sides, take a look at the items. What do we have to have? What don't we have to have? What can we change? What would you modify in how you pack it? But we're going to go into this -- but this will be a year where we also have to be nimble. Because while other folks get to raise retails, including our Family Dollar banner, as I've told folks before, our customers often don't have that extra dollar. So we've got to be just better buyers, and it's going to speak to both how we buy, the specs we buy to and which countries we go to. 
Michael Lasser: And just to clarify, is there room to further mitigate the 20% at Dollar Tree and 50% at Family Dollar? I mean, just a follow-up. I think there's a prevailing view in the marketplace that even with the -- with the available [ dote today ], that Dollar Tree -- the enterprise's operating margin is going to continue to be under pressure for next year and down. I recognize it's early. But what would be the offset to all these factors that would allow you to keep your operating margin either flat or growing? 
Gary Philbin: Well, to the first part, on the imports, well, we're still working hard. Listen, this -- we started in earnest in August, September, and we've made one trip. We still got things to buy in the back half of the year. That's really the balance of what we have to mitigate. So we're off to, I think, a real good start at both banners, more work to be done. And the pressure that comes, we -- this is going to be a year where we're going to have to understand what the customer -- between the tariffs, we've gone through a year of really nothing in my retail history on seeing the lack of truck drivers that impacted freight. But I want to go into next year thinking that we have the right assortment in place for our customers first and drive business. And from there, we get the chance to leverage some of our fixed costs and other things that we've always done to drive up income. But as I look into 2019, this is going to be all about let's stay real close to our customer and what do we buy that they respond to in both banners. 
Operator: Next question will come from John Heinbockel with Guggenheim Securities. 
John Heinbockel: So let me start with what's your broader thought on the Family Dollar store footprint, including the possible need for underperforming store closures? And then kind of tied to that, when you think about the 1,000 remodels next year, plus the openings, your thoughts on the field organization's ability to handle all of that change in 1 year's time. 
Gary Philbin: Well, agreed. I mean, I think we boldly stepped out there and said, we're going to do -- really, across both banners, but I'll stay focused on Family Dollar, a lot of renovations, more than we've done. And the reason we like that and it's important is what we're seeing in the current renovation. So I would tell you the field's excited, everything we've done, John, to get our folks incented and aligned to run better stores. Now here's a chance to change the 4 walls of their stores. Now we've got to do one store at a time, maybe opportunity to drive more footsteps into these stores and improve top line. I would tell you, they're raising their hand, "Give me one of those." The execution piece, we've got to be on top of our game. It's a lot because of what you do to enhance the store and reset it and the SKUs that come in and out. So it's not a small task for the field team to execute, but we're up for it. This is our opportunity to make meaningful change at Family Dollar. It's how we've described it to our organization. They've seen the ones that are responding. I walked a recent store with both our RD and DM recently. Their eyes light up. The consistency, execution, we're going to be all over that next year. And I want to go through 2019 saying we did at least 1,000 of them, and we were pleased with all of them. And that's going to be the bar that we set going to 2019. Along with that is the rebanner. So just to call out, as we've taken a look at the store in reference to the broader question, we've taken a look at which stores are responding to the renovations and what is in urban versus rural. And the stores that are tweeners, you might say, well, that's where we're harvesting some of those to become Dollar Trees, so the opportunity to now understand that in a better way as we continue our iterations of renovations. And the stores that don't respond to that, now we can sort of see that. The things that we have worked on, on table stakes to get all stores to improve, those are good things to work on in retail. I think what we like about the renovations is that's what changes, really, the course of the future footsteps for that store and sort of breaks out for us. So that's our effort for 2019. 
John Heinbockel: And then just secondly on the tariff topic. Is the mitigation at Family Dollar, the 50% versus 80% spread, is that more a function of FDO does have pricing flexibility, right, where Dollar Tree doesn't? And if we do not get the 25% -- we will assume we do -- but if we did not get it, does that, on the incremental 15, I assume your gut feel would be to reinvest that benefit into the business, not keep it. 
Gary Philbin: Well, listen, other people raise retails up or raise or lower them. And for us, you have to be close enough to this customer and have the same kind of value. The magic at Dollar Tree only works if they know that's worth more than $1 because it is somewhere in their shopping universe. Now Family Dollar, we don't have -- we always got flexibility. At Dollar Tree, our promise is to have great value in the store, not necessarily that item. At Family Dollar, there are some basics that I want to make sure we're in place with. Our team's still working hard on. We have our big post holiday trip. We will do better than where we are today. But at the end of it, we may have to invest some of that to stay in place with the right items as we go into 2019. I don't think you can just say, "Listen, if the tariff goes to 25%, it's a real thing." Other retailers are going to be faced with that, too, and we're going to respond to it, in our world, the right way to make sure our customers see the right values in both Family Dollar and Dollar Tree. 
Operator: The next question will come from Peter Keith with Piper Jaffray. 
Peter Keith: Wanted to just dig a little bit more into the renovation initiative around Family Dollar. So Gary, last quarter, you had said that you were getting a mid-single-digit comp lift. This quarter, you said the store is performing better. Could you give us a sense on what some of the changes were that have driven that better performance so we can hope to see that continue into 2019? 
Gary Philbin: Exactly. I mean, I would say it's not going to be one change. But I would just say this, Peter, as we went through, really, over the last 18 months, you put these stores out there, you see what responds. It's easy to walk in a store. You like the layout, always comes down to the look and feel. But I would tell you, it's more around the assortment that the customer ultimately sees. So our latest iterations have focused on some of the things the customer needs most. I mean, you've heard us talk about consumables, very important for Family Dollar. It's a piece of the emphasis. I think the adjacencies that we've been talking about are paying off for us. Some of the price impact that we're making throughout the store is a piece of it. I think we'd just tell you what we've done that gives -- finds us a way to get that last dollar when she's waiting for our checkout is as important as anything we've done in the store. So is it one thing? No. Is it the combination of all those efforts that got us to that? Yes. And to me, Peter, the final judge for me -- and listen, we'll continue to refine. I mean, I can't put a thermometer on this and tell you we're all the way to the boiling point where we like it, but I think we're pretty darn close. And I would just tell you that it shows up in footsteps into the front door. 
Peter Keith: Okay. I did also want to dig into the opportunity for combined supply chain. And you've had the St. George, Utah test. It's going on for 2 years. So certainly can appreciate it's a complicated initiative, but also surprised that it's been a 2-year test. Could you give us a sense on what's taking so long at this point? And as you're looking forward, when can we begin to expect to see this broaden out to more of the DC network? 
Gary Philbin: Well, it is complicated. Thank you for recognizing that. And it's -- we're past the test stage. I mean, we've built our latest DC in Warrensburg, Missouri now with the same systems that St. George allowed us to ship both banners. The difference and the issue really has been as we rebannered stores from Family Dollar to Dollar Tree, as stores were divested then rebannered from Family Dollar, all the capacity needs over the last 3 years have been on the Dollar Tree side. And so while Warrensburg has the capacity, at this point, we need the capacity for Dollar Tree, at some point, Family Dollar will show up there. And so I think where you're going to see it is the new DCs will get to that ability to ship first. And then while you have -- as we shift volume to and from in the network, then we'll have a better opportunity to go back into some of the locations probably on the Family Dollar DC side where they have capacity to shift to Dollar Tree stores. We don't -- we're working on that. I don't have a timeline to tell the Street that, that's when it's going to happen. It's still ahead of us, but we are planning for it. 
Operator: The next question will come from Dan Wewer with Raymond James. 
Daniel Wewer: Kevin, I wanted to ask you about the cost of the renovations and also the time to complete a renovation. And just to confirm, is the sales lift now exceeding that mid-single-digit rate that you had alluded to in the past? 
Kevin Wampler: Yes, Dan. I think from a cost perspective, what we had said is it really ranges from probably $100,000 to $150,000, and the big variable is always going to be the number or amount of refrigerated and cooler units and freezer units that we may be putting into that store. So that's the biggest variable. And the typical renovation, it takes us only about 2 weeks. So it's a very coordinated effort, as you can imagine, to -- because there's some pretty significant changes in regards to moving layout, changing the storefront and as well as adding immediate consumption coolers to the front of the store. So it's well coordinated. I think we feel pretty good about the work we've done to get that down to a pretty nimble timeline. And then in regards to your question, the mid-single-digit comps, and obviously, Gary has commented it's higher. We haven't really specifically said how much higher, but it is definitely higher than the mid-single-digits. 
Daniel Wewer: During the 2 weeks to complete the renovation, and we have 1,000 of these taking place next year, could this put additional pressure on your inventory shrink accrual? 
Kevin Wampler: Well, I mean, I think part of this is, again, you do really have to look at inventory in these stores. And some categories might get a little smaller, so there can be some inventory movement. But I would tell you, just in general, we are not satisfied with where our shrink has been this year in either banner. It has not been a result that we're very proud of. It's something that we are working on, and again, it's just not something that you usually see out of us from an execution standpoint. So it's on the top of everybody's list out there, in the operations, loss prevention and the whole organization, from the standpoint of understanding that this is just as important as driving sales out there. So I don't want to say it's going to put pressure on it because my expectation is we have to do better next year. 
Daniel Wewer: Yes. And then just as a quick follow-up question. If you had unlimited resources, both people and capital, how many Family Dollar renovations would you like to ultimately complete? 
Gary Philbin: There'll be thousands. I mean... 
Daniel Wewer: Starts with a 2? 
Gary Philbin: Wait. I'd tell you -- I mean, it's -- Dan, it's really an issue of -- a thousand's a big number. We're -- and I'm -- I said a minimum because I'm obviously hoping for more because that's how I'm thinking about it. But I think, seriously, from the standpoint of just is this a 1 year project? No. We will see the results of this larger group of stores helping us, certainly, as we get into '19 and more and more of them are behind us. But I would see us doing a similar number in '20. 
Operator: The next question will come from Chuck Grom with Gordon Haskett. 
Charles Grom: Just beyond the remodels, Gary, when you think about investments that need to be made, whether it be labor, training, technology, what else do you think needs to get done to rightsize the banner? And how do you think about the operating margin profile of the Family Dollar segment over the next couple of years with that in mind? 
Gary Philbin: Well, it's one of the reasons we're doing the renovations, Chuck, is -- listen, as the stores go up in volume, they leverage their 4-wall fixed expenses. But I think you touched on the investments that are needed. I mean, we've talked about -- and I tried to call out some of the big ones that we've done. Technology will continue to migrate to best-in-breed between the 2 banners on some of the systems that we need. We'll continue to invest in our people, especially with unemployment being at a near all-time lows, just what we've done this year on what we call the year of the store manager, to drive success store by store with improving our store manager prioritization, how they direct, how they follow up with people. I mean, this is not either/or. We've got to do both. Over time, operating income, listen, we still have our sights set on where we started this journey. We will continue to improve it. I think what I want to emphasize today is we need to touch a meaningful amount of stores to get the consistency towards that trajectory that gets us there. And I've called out before the things that we've been doing, the blocking and tackling on our table stakes. All good retailers have to do that. But the equation that I want to change is to drive more renovations. And listen, we'll do the rebanners, too, because right off the bat, if it's the right market and the right neighborhood, adding a Dollar Tree assortment certainly changes the 4-wall cash immediately on that store, whether sales go up or not. But what we've seen is customers do figure out eventually that is a Dollar Tree, and we see multiyear comps coming from the rebanner segments that we've done. So when we find the right store to do that, we do that, too. So between those 2, you go out a few years, you start getting better comps from the suite of renovated stores that start to leverage their fixed expenses. You start to see rebanners that are opportunistic coming out of the Family Dollar fleet and falling into the Dollar Tree 4-wall cash model, and I think that's how we take a look over the next few years on building the business plan. 
Charles Grom: Okay, that's very helpful. And then my follow-up question would be just on comps variability across the Family Dollar banner. I'm just wondering how wide is the performance across your stores. And is there a thought to close more stores in the coming years on some of the stores that, I guess, are potentially underperforming the chain? 
Gary Philbin: I think that's the work we've really been doing on the store optimization, on taking a look at -- okay, to your point, we got stores that are -- we got good stores. We got great stores at Family Dollar. You got some that aren't where you want. So how do you fix them? Well, as we've done the renovations, well, now with the newly -- assortment and everything we just talked about, well, there's an answer. Some don't seem to respond the same way, well, maybe those should be rebanners. Some are just operational improvement. We need to get, as always, the right team, the right effort from our operations. And then those that can't respond, they might be too old, might be too small. We're dealing with a big and older fleet of stores. At some point, you got to say when do you close them, at lease end or being opportunistic. 
Operator: [Operator Instructions] The next question will come from Matthew Boss with JPMorgan. 
Matthew Boss: On the margin front, how are you thinking about freight and markdowns at both banners in the fourth quarter? And larger picture, as we look to next year, do you see the opportunity to drive positive consolidated operating margin as you put together all the headwinds and tailwinds that you see today on the horizon? 
Kevin Wampler: Yes, Matt. As we speak to freight, I think we look at that as a continued headwind as we look at the fourth quarter. And again, diesel, while it's still up, I believe, in Q3, it was up roughly about 20% as a rate year-over-year with the recent pullback in oil prices that may dissipate a little bit in Q4. So that may come down a little bit. But freight in general, I think as the driver shortage and -- that's out there and the pressure we're seeing from that, we expect freight to continue to be up. And even really potentially through the first half of next year, there could be some pressure as well. But again, that's ongoing. From a markdown perspective, it's really pretty much a nonevent in the green banner because there just aren't that many markdowns. The Family Dollar business is obviously a little different from a markdown perspective. As we've noted in Q3, markdowns were up, partially to drive sales and, again, partially just to make sure we're moving through inventory appropriately. As we look at Q4, I would tell you, I would expect markdowns in the Family Dollar business to be up year-over-year. Again, I think the opportunity to be aggressive when appropriate and to keep our inventory as clean as we can is important. So I think that's there for us. And I think as we continue to push that business forward, that's something we need to continue to look at. In regards to 2019, obviously, we haven't given any guidance at this point, and we're finishing up, really, the planning and the budgeting as it relates to 2019. So there's not really much I can say at this point in time. But I would tell you it's always our expectation that we move the business forward and improve the business, and that's what's going to be our guiding principle as we go into 2019. 
Operator: The next question will come from Greg Melich with MoffettNathanson. 
Gregory Melich: I love just to follow up on tariffs a little bit. Thanks for explaining how we're really working to mitigate it. Remind me, how much of your COGS, if you disclosed it or not already, are on the current list? I think we had around 25% of COGS coming from China, but I don't think that was the current list. 
Gary Philbin: The current tariff list, I think we've declared that we have about 9% of our sales are coming through that are tariff at this point from the tariff [indiscernible]. 
Gregory Melich: Got it. And so if that extended, that might be different, but that is -- what you're referencing was mitigating 50% or 80% of what's currently on the list. 
Gary Philbin: I say the tariff 301 list is what we're [ referencing ]. 
Gregory Melich: Perfect. Got it. And then a follow-up from before. You mentioned getting the $100 million reinvestment of the $250 million tax savings. How should we think about that in terms of -- is there any left? Or do we repeat part of that investment next year? Remind me of the timing of that. Was that all of an investment this year? Or was some of that $250 million going to be in the following years? 
Kevin Wampler: The $250 million, that's the 2018 benefit with us reinvesting $100 million into labor and -- both in rate and hours. That's not only stores but also within our DC environment as well. So that will continue through Q4. I think as we look into 2019, my very early read would tell you that there's likely to still be some general pressure on wages just from competitive marketplaces as well as some states continuing to increase their state-mandated minimum wages. But I think the $100 million really was related only to 2018. 
Operator: The final question will come from Robbie Ohmes with Bank of America. 
Marisa Sullivan: This is Marisa Sullivan on for Robbie Ohmes. I just wanted to see if you could comment a little bit on traffic trends at the Family Dollar banner and how they've trended in the third quarter then quarter-to-date and whether we should be expecting a positive comp inflection at Family Dollar in the fourth quarter and what would be the drivers? 
Gary Philbin: Well, we'll go against a, I believe, one comp last fourth quarter. Here we are starting off the holiday season in earnest. To me, the kickoff is a little bit of Thanksgiving, but probably more for our customers, the first week of December. So all of our plans, all of our efforts, the alignment of getting the merchandise to the right stores, that's going to be the proof in the pudding over the next few weeks. So you certainly -- we call it, it's a big spike in our business as we march towards December 25. So listen, we're going to work hard on -- we're excited about the holiday season. I think we got our folks in the right place. We spent a lot of time in both of our field meetings way back in August to get them prepped on the excitement of the items that we have in our stores. We've gotten into not just stores but on display. I think both banners really going to this year have really done a job to improve the holiday assortment. And right now, we're sort of in the, you might say, trim a home and trim a tree segments. Trim a gift and gift-giving is still ahead of us. So those are clearly the biggest categories. For Family Dollar, it will be, I think, opportunity for us to really [ shout ] down toys with the void in the markets. We did lean into the toy business this year, and I think it's going to be an important part of us having a positive comp as we go through December. 
Operator: Thank you for the question. I'll now turn the conference back over to Mr. Randy Guiler for closing remarks. 
Randy Guiler: Thank you, Brandon, and thank you for joining us on today's call and especially for your continued interest in Dollar Tree and Family Dollar. Our next quarterly earnings conference call is to discuss fourth quarter and fiscal 2018 results. That call is tentatively scheduled for Wednesday, March 6, 2019. 
 Thank you, and have a good day. 
Operator: Thank you, ladies and gentlemen. That concludes today's event. You may now disconnect your lines.